Operator: Greetings, and welcome to Take-Two First Quarter Fiscal Year 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Hank Diamond. Thank you. You may begin. 
Henry Diamond: Good afternoon. Welcome, and thank you for joining Take-Two's conference call to discuss its results for the first quarter of fiscal year 2021 ended June 30, 2020. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. 
 Before we begin, I'd like to remind everyone that statements made during this call that are not historical facts are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent annual report on Form 10-K and quarterly report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. 
 I'd also like to note that unless otherwise stated, all numbers we will be discussing today are GAAP and all comparisons are year-over-year. Additional details regarding our actual results and outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. 
 Our press release also contains a reconciliation of any non-GAAP financial measure to the most comparable GAAP measure. In addition, we have posted to our website a slide deck that visually presents our results and financial outlook. Our press release and filings with the SEC may be obtained from our website at www.take2games.com. And now I'll turn the call over to Strauss. 
Strauss Zelnick: Thanks, Hank. Good afternoon, and thank you for joining us today. I'd like to start by expressing, on behalf of our entire management team, our deepest sympathies for those who have been and continued to be affected by this pandemic. We're immensely grateful to everyone who serves on the front lines caring for people in need and helping the world navigate this crisis. 
 Turning to our business. Fiscal 2021 is off to a terrific start with first quarter operating results that significantly exceeded our expectations, including fiscal first quarter records for GAAP net revenue and net bookings. Our outstanding results were driven by the outperformance of NBA 2K20, Grand Theft Auto V and Grand Theft Auto Online, Red Dead Redemption 2 and Red Dead Online and Social Point's mobile games. I remain incredibly proud of our entire organization, which exemplifies our core tenets of creativity, innovation and efficiency, and continues to deliver industry-leading entertainment experiences to our audiences during these challenging times. 
 In the first quarter, NBA 2K20 significantly outperformed expectations and recently achieved a franchise milestone of $1 billion in net bookings since launch. Consumer engagement with NBA 2K continues to increase with daily active users growing 82%, MyCAREER users growing 78% and MyTeam users up a remarkable 108% as compared to the first quarter of last year. 
 Recurrent consumer spending in NBA 2K grew 126% to a new record and remained the largest contributor to that part of our business. To date, NBA 2K20 has sold an over 14 million units, up over 18% compared with NBA 2K19 in the same time frame. We expect that lifetime units, recurrent consumer spending and net bookings for NBA 2K20 will be the highest ever for a 2K sports title. 
 Nearly 7 years after its initial release, sales of Grand Theft Auto V continue to exceed expectations. The title has now sold in nearly 135 million units and remains the standard bearer of the current console generation. In addition, recurrent consumer spending on Grand Theft Auto Online outperformed our forecast, growing 155% to a new record. 
 In April, Rockstar Games released Gerald's Last Play, a series of 6 new contact missions for Grand Theft Auto Online. The first quarter was the second best period ever for new player acquisitions since the title's launch in 2013. The unprecedented player volume trend started with the superlative performance of The Diamond Casino & Resort update in July 2019 and drove record average multiplayer MAUs through August 2019, persisted with sequential records in average multiplayer MAUs from December 2019 through May 2020. We now expect Grand Theft Auto Online to establish a new net bookings record in fiscal 2021. 
 In addition, the partnership with Epic Games Store for Grand Theft Auto V was offered free for a week in mid-May, was a contributing factor to the strong performance of Grand Theft Auto Online and did not come at the expense of paid sales of the title. In fact, Grand Theft Auto V sold through more units in the period than any first quarter since the title's launch in 2013. And in the 6 weeks following the Epic Store promotion, Grand Theft Auto V sold more units than in the same period in any previous year. 
 Red Dead Redemption 2 also outperformed, and to date has sold in more than 32 million units worldwide. The title sold through twice as many units compared to last year. Engagement with and recurrent consumer spending on Red Dead Online continues to increase. The title acquired nearly twice as many users year-over-year, and average multiplayer MAUs grew 50%. Net bookings from Red Dead Online surpassed expectations, growing 118%, excluding digital content bundled with the Red Dead Redemption 2 Premium Editions. During the first quarter, Rockstar Games added new content to Red Dead Online including 6 new maps to Showdown Mode. Through the coming year, Rockstar Games will continue to support both Red Dead Online and Grand Theft Auto Online with more content updates to keep new and returning players excited and engaged. 
 Borderlands 3 continues to expand its audience and to date has sold in over 10.5 million units worldwide, up 69% over Borderlands 2 in the same period. During the first quarter, 2K and Gearbox launched Bounty of Blood. The third of 4 announced paid campaigns that are included in the Borderlands 3 Super Deluxe Edition and the Season Pass, or are available for purchase separately upon release. The Season Pass attach rate for Borderlands 3 continues to be the highest in 2K's history, and there's more content coming. 
 In the period, MAUs grew as sales continued at a steady pace with the consistent release of free and paid content. We attribute this ongoing success in part to 2K's and Gearbox Software's continued efforts to support Borderlands 3 as a live service game, which should continue to benefit the title and series over the long term. 
 Private Division's critical and commercial success, The Outer Worlds, outperformed expectations in the first quarter and has now sold in 2.8 million units. On June 5, the title was released for Nintendo Switch. In addition, Private Division launched Disintegration, a new sci-fi first person shooter experience that blends real-time tactical elements for PlayStation 4, Xbox One and PC. 
 During the first quarter, 2K released Mafia II Definitive Edition and Mafia III Definitive Edition as part of the Mafia Trilogy, which combines all 3 previously released Mafia titles into a single package for PlayStation 4, Xbox One and PC, curated by 2K's Hangar 13 studio. Mafia I Definitive Edition will become available on September 25 as Karl will discuss shortly. 
 2K also bolstered our offerings for Nintendo Switch with some of our most beloved and successful franchises, including Bioshock: The Collection, The Borderlands Legendary Collection and the XCOM 2 Collection. In addition, 2K and Firaxis Games released XCOM: Chimera Squad, an all-new stand-alone title in the award-winning, turn-based XCOM series for PC. Our first quarter results were also enhanced by a variety of other offerings, led by Social Point's Sid Meier's Civilization VI and the WWE series. 
 During the first quarter, recurrent consumer spending exceeded expectations, growing 127% to a new record and accounted for 65% of net bookings. In addition to virtual currency for NBA 2K, Grand Theft Auto Online and Red Dead Online, recurrent consumer spending was enhanced by the following offerings. 
 In the free-to-play category, Social Point outperformed expectations, growing 54% to a fiscal first quarter record, driven primarily by the exceptional performance of its 2 biggest games, Dragon City and Monster Legends. The studio continues to invest in its broad and innovative pipeline of more than 10 new games planned for launch in the coming years. WWE SuperCard also outperformed during the first quarter, growing 54%. And the title has now been downloaded more than 21 million times and remains 2K's highest grossing mobile title. And NBA 2K Online in China remains a significant contributor to our results. The title is the #1 PC online sports game in China with nearly 50 million registered users. 
 Add-on content grew 135% and outperformed expectations, led by offerings for the Borderlands franchise, Sid Meier's Civilization VI and XCOM 2. As a result of our outperformance in the first quarter, along with a higher forecast for the balance of the year, we're raising our outlook for fiscal 2021, which is well underway to be another great year for Take-Two. 
 Looking ahead, our company has the strongest development pipeline in its history, including sequels from our biggest franchises as well as exciting new IP. We've made great strides to increase the scale of our enterprise, and our current pipeline is more than double what it was 5 years ago in terms of number of games, including 54% internally developed titles and 46% externally developed titles. 
 In closing, we continue to prepare for our industry's forthcoming transition to a new console cycle, which will provide our world-class development teams with a better platform on which to captivate and engage our audiences. Our company remains superbly positioned, creatively, operationally and financially to capitalize on the many positive trends in our industry and to deliver returns for our shareholders over the long term. I'll now turn the call over to Karl. 
Karl Slatoff: Thanks, Strauss. I'd like to begin by thanking our teams for delivering an excellent start to the year. The work being accomplished across our company is a shining example of what can be achieved through our culture of collaboration, which is more important than ever during these challenging times. 
 I'll now discuss our recent and upcoming releases. On July 1, Private Division, in partnership with the European Space Agency, launched a new update for Kerbal Space Program for PC entitled Shared Horizons. The update, which will also be available later this year on consoles, celebrates ESA's outstanding contribution to space exploration and is free for all players of the critically-acclaimed, physics-based space simulation game. 
 In addition, Private Division's new development studio, Intercept Games, remains hard at work on Kerbal Space Program 2, which is expected to launch in the fall of 2021. 
 On July 23, Firaxis Games released Ethiopia Pack as part of the bimonthly release of 6 downloadable content packs for the all-new Sid Meier's Civilization VI New Frontier Pass for PlayStation 4, Xbox One, Nintendo Switch and PC. Later this year, the New Frontier Pass will come to mobile platforms, and each path will also be available for individual purchase. 
 On July 28, Rockstar Games released The Naturalist, a massive new update to Red Dead Online, featuring a new frontier pursuit that will introduce players to the secrets of naturalism as part of an all-new role, plus in a new Outlaw Pass, tons of community-requested features and fixes and much more to play and discover in months to come. Launch date for The Naturalist was Red Dead Online's best day ever outside of the holiday period, and the update continues to perform very well. 
 On August 21, 2K will release PGA Tour 2K21 for PlayStation 4, Xbox One, Nintendo Switch, PC and Stadia. Developed by HB Studios, PGA Tour 2K21 will feature PGA professional Justin Thomas on the cover, officially-licensed pro players, courses and gear, realistic course scanning, play-by-play commentary by Luke Elvy and Rich Beem, a new PGA TOUR Career Mode, online and local multiplayer, course and player customization and online societies. 
 On September 24, 2K will release the next annual offering from our flagship NBA 2K series for PlayStation 4, Xbox One, Nintendo Switch, PC and Stadia. With extensive improvements, best-in-class graphics and gameplay, competitive and community online features and deep varied game modes, NBA 2K21 will offer a one of a kind immersion into all facets of NBA, basketball and culture. In addition, NBA 2K21 will launch this holiday season for next generation platforms, providing unparalleled graphics and loading speeds and will once again redefine the standards for sports simulations. 
 5-time NBA all-star in Portland Trailblazer standout, Damian Lillard, will be on the cover for the current generation versions of NBA 2K21 and the 2019 First Overall Pick and consensus National College Player of the Year, Zion Williamson of the New Orleans Pelicans will be on the cover for the PlayStation 5 and Xbox Series X releases. 
 NBA 2K21 will introduce several initiatives to bridge the 2 console generations of the game, including MyTeam cross-progression and a shared VC wallet within the same console families. In addition, NBA Legend, Kobe Bryant's lifetime achievement of basketball excellence will be celebrated with the NBA 2K21 Mamba Forever Edition, which will provide players with seamless access to both current and next-generation versions of the game. 
 On September 9, Private Division will release Peril on Gorgon, the first narrative expansion for their award-winning RPG, The Outer Worlds from Obsidian Entertainment. In this expansion, players will discover a lawless den of monsters and marauders on the Gorgon Asteroid, and uncover a mystery that will change the Halcyon colony forever. Peril on Gorgon is the first of 2 narrative expansions that can be purchased individually or bundled at a discount in The Outer World's Expansion Pass. 
 On September 18, 2K will release WWE 2K Battlegrounds, a completely new WWE gaming experience that will feature arcade-style brawling action for PlayStation 4, Xbox One, Nintendo Switch, PC and Stadia. Featuring a roster of more than 70 WWE superstars and legends at launch with additional superstars to be released thereafter. WWE 2K Battlegrounds is now available for preorder in digital formats and at participating retailers. 
 September 25, 2K will release Mafia I Definitive Edition for PlayStation 4, Xbox One and PC in the Mafia Trilogy collection, which features all 3 previously released mafia titles. For the trilogy, Mafia I is being completely remade from the ground up, including new technology, voice acting, game mechanics and more. In the coming weeks, 2K and Gearbox will have more to share on their upcoming content releases to support and further expand the audience for Borderlands 3. 
 Rockstar also announced an upcoming summer update to Grand Theft Auto Online, and both Grand Theft Auto Online and Red Dead Online will receive major updates later this fiscal year, featuring an extension to existing Frontier Pursuits for Red Dead Online as well as Grand Theft Auto Online's biggest update ever, featuring a new take on heists in a new location. 
 Throughout fiscal 2021, we will continue to support our titles with innovative post-launch content that drives engagement and recurrent consumer spending. In addition, Social Point and 2K will continue to broaden our offerings for mobile devices. 
 Looking ahead to fiscal year 2022, Rockstar Games also announced that they will bring their beloved and iconic Grand Theft Auto V to the next-generation of consoles in the second half of calendar 2021. The new generation versions of the game will feature a range of technical improvements, visual upgrades and performance enhancements to take full advantage of the latest hardware, making the game more beautiful and more responsive than ever. For the community of Grand Theft Auto Online, the journey through this ever-evolving world will continue on the next-generation consoles with more new updates, including additional content exclusive to the new consoles and PC. There will also be a new stand-alone version of Grand Theft Auto Online coming in the second half of calendar 2021, which will be available for free exclusively for PlayStation 5 players during the first 3 months. Rockstar Games will share more details on the new versions of Grand Theft Auto V in the months ahead. 
 Last week, Private Division announced the signing of 3 new publishing arrangements -- agreements with top independent developers Moon Studios, League of Geeks and Roll7. These partnerships will expand the label's portfolio of titles that includes Kerbal Space Program franchise, The Outer Worlds, Ancestors: The Humankind Odyssey and Disintegration. 
 Moon Studios, founded in 2010 by Thomas Mahler and Gennadiy Korol, is a BAFTA award-winning studio, best known for developing the critically acclaimed Ori and The Blind Forest and Ori and The Will of The Wisps. Moon Studios is working on creating a compelling new action RPG. 
 League of Geeks, founded in 2011 by Trent Kuster, Blake Mizzi and Ty Carey, are renowned for developing the PC game Armello, which combines deep tactical card play, rich tabletop strategy and RPG elements. Located in Melbourne, League of Geeks is looking to expand upon its initial success with an ambitious new intellectual property. 
 Roll7 is a BAFTA multi-award winning independent studio founded in London in 2008 by Simon Bennett, John Ribbins and Tom Hegarty. Roll7 created the OlliOlli series, Not A Hero and Laser League. They are working with Private Division on their next job forward in their mission to create awesome flow state games. The first of these titles is expected to launch in fiscal 2022. 
 Also last week, 2K announced a partnership with OneTeam Partners and the National Football League Players Association that will allow the label to include the names, numbers, images and likenesses for over 2,000 current NFL players in multiple nonsimulation football games that are currently in development and set a launch starting in calendar year 2021 during fiscal 2022. We are thrilled to be back in the business with NFL, which is one of the most successful sport brands in the world. We are confident that our forthcoming NFL offerings will be extremely fun, highly engaging and deeply social experiences. 
 Turning to eSports. We are very excited about the continued progress and growth of the NBA 2K League, which is currently in its third season. These playoffs will run between August 19 and 22, prior to the finals on August 29. The league has been steadily building its portfolio of high-profile partnerships and sponsorships, including Anheuser-Busch, AT&T, Champion Athleticwear, GameStop, HyperX, Jostens, Panera Bread, Raynor Gaming, SAP, Scuf Gaming, Snickers, Stance and Tissot. The NBA 2K League airs live on the League's Twitch channel in addition to select matches airing live on ESPN2, ESPN's digital platforms and the NBA 2K League YouTube channel as well as on delay on eGG Network in Southeast Asia. 
 Furthermore, in June, as part of multiyear agreement, livestreams of League games has begun airing on Dash Radio's Nothin' But Net channel on the digital network that has more than 12 million subscribers. We are very excited about the continued success and growth of the NBA 2K League, which has the long-term potential to enhance engagement and to be a driver of profits for our company. 
 As Strauss mentioned, we have the strongest development pipeline in Take-Two's history as well as significant potential to increase engagement and recurrent consumer spending. In addition, we are investing on a number of emerging opportunities that has the potential to enhance our growth rate. We remain focused on delivering the highest quality entertainment that captivates and engages audience throughout the world. Whether expanding our offerings on to new platforms, capitalizing on new business models and distribution channels or increasing our presence in emerging markets, Take-Two is exceedingly well positioned to generate value to consumers as well as growth for our shareholders. I'll now turn the call over to Lainie. 
Lainie Goldstein: Thanks, Karl, and good afternoon, everyone. Today, I'll discuss our first quarter results and then review our financial outlook for the second quarter and fiscal year 2021. Please note that additional details regarding our actual results and outlook are contained in our press release. As Strauss mentioned, fiscal 2021 is off to a great start, the first quarter operating results significantly beating our expectations. 
 Net bookings grew 136% to $996 million, which was a fiscal first quarter record. This result exceeded our outlook of $800 million to $850 million, driven by the exceptional performance throughout our portfolio, led by NBA 2K20, Grand Theft Auto V and Grand Theft Auto Online, Red Dead Redemption 2 and Red Dead Online and Social Point's mobile games, partially offset by the underperformance of Disintegration. 
 Digitally-delivered net bookings grew 139% as compared to our outlook of 100% growth and accounted for 92% of the total. This result exceeded our outlook primarily due to the outperformance of recurrent consumer spending. 
 During the first quarter, 77% of sales of current generation console games were delivered digitally, up from 75% last year. Recurrent consumer spending grew 127% as compared to our outlook of 75% growth and accounted for 65% of total net bookings. This growth was driven primarily by NBA 2K20, Grand Theft Auto Online and Social Point's mobile games. 
 GAAP net revenue grew 54% to $831 million, which was a fiscal first quarter record, and cost of goods sold increased to $477 million. Operating expenses increased by 10% to $272 million, due primarily to our COVID-19 charitable initiative, headcount expansion and higher incentive compensation as a result of the company's performance. And GAAP net income grew to $89 million or $0.77 per share as compared to $46 million or $0.41 per share in the first quarter last year. 
 Now to our guidance, starting with the fiscal second quarter. We project net bookings to range from $775 million to $825 million compared to $951 million in the second quarter last year, which benefited from the launch of Borderlands 3. The largest contributors to net bookings are expected to be NBA 2K, Grand Theft Auto Online and Grand Theft Auto V, Red Dead Redemption 2 and Red Dead Online, Borderlands 3, Social Point's mobile games, Sid Meier's Civilization VI, and The Outer World. We expect digitally-delivered net bookings to be flat, driven by growth in recurrent consumer spending, offset by lower digitally delivered sales of Borderlands 3, which launched last year. 
 Our forecast assumes that 63% for current generation console game sales will be delivered digitally, up from 51% last year. We project recurrent consumer spending to grow by approximately 10%. We expect GAAP net revenue to range from $750 million to $800 million and cost of goods sold to range from $355 million to $381 million. 
 Operating expenses are expected to range from $285 million to $295 million. At the midpoint, this represents an 8% decrease over last year, driven primarily by lower marketing expense. And GAAP net income is expected to range from $98 million to $110 million or $0.85 to $0.95 per share. For management reporting purposes, we expect our tax rate to be 16% throughout fiscal 2021. 
 Turning to our outlook for the full fiscal year. We are increasing our net bookings outlook range to $2.8 billion to $2.9 billion from $2.55 billion to $2.65 billion, driven by our outperformance in the first quarter along with an updated forecast for the balance of the year. We are continuing to see elevated engagement and sales from people sheltering at home, which we have included in the second quarter, but have not yet factored into the back half of the year. 
 We expect growth in NBA 2K, Grand Theft Auto Online and Social Point's mobile games to be offset by lower results on Borderlands 3, Red Dead Redemption 2 and Grand Theft Auto V. Read Dead Online, excluding digital content bundled with the premium edition is projected to be approximately flat versus fiscal 2020. The largest contributor to net bookings are expected to be NBA 2K, Grand Theft Auto Online and Grand Theft Auto V, Red Dead Redemption 2 and Red Dead Online, Borderlands 3, Social Point's mobile games, Sid Meier's Civilization VI and The Outer World. 
 We expect the net bookings breakdown from our labels to be roughly 55% 2K, 35% Rockstar Games and 10% Private Division and Social Point. And we forecast our geographic net booking split to be about 60% United States and 40% international. We now project digitally-delivered net bookings to increase by approximately 3% as compared to our prior outlook of an 8% decline. This growth is being driven by our recurrent consumer spending and digitally-delivered sales. As a percentage of our business, digital is projected to represent 87%, up from 82% last year. 
 Our forecast assumes that 68% of current generation console game sales will be delivered digitally, up from 55% last year. We now expect recurrent consumer spending to grow by 15% as compared to our prior outlook of flat versus fiscal 2020 and to represent 61% of net bookings as compared to 51% last year. This growth is being driven by NBA 2K, Grand Theft Auto Online and Social Point. We are increasing our non-GAAP adjusted unrestricted operating cash flow outlook to more than $500 million, up from our prior outlook of more than $350 million. We plan to deploy approximately $75 million for capital expenditures. 
 We expect GAAP net revenue to range from $2.8 billion to $2.9 billion and cost of goods sold to range from $1.28 billion to $1.32 billion. Total operating expenses are expected to range from $1.15 billion to $1.17 billion. At the midpoint, this represents a 3% increase over the prior year, driven by higher headcount, R&D expense and shareable contributions, partially offset by lower marketing and stock compensation expenses. And we expect GAAP net income to range from $350 million to $380 million or $3.05 to $3.30 per share. 
 In closing, fiscal 2021 is off to a strong start and is poised to be another terrific year for our organization. We remain well positioned both to navigate the uncertainties of these times and to capitalize on the positive trends within our industry. Over the long term, our industry-leading creative assets, firm commitment to operational excellence and strong financial foundation position our company to deliver significant growth and margin expansion for our shareholders. Thank you. I'll now turn the call back to Strauss. 
Strauss Zelnick: Thanks, Lainie and Karl. On behalf of our entire management team, I'd again like to thank our colleagues for their hard work, commitment to excellence and for delivering an exceptional start to the year. To our shareholders, I want to express our appreciation for your continued support. We'll now take your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Mario Lu with Barclays. 
X. Lu: So the first question is on the $70 price point announced for NBA 2K21. Any color behind making that decision? And was that decision broad-based? Or title-specific since NBA 2K21 will span 2 NBA seasons this time instead of 1? So in other words, is the higher price point embedded in guidance for all AAA new-gen titles going forward or just NBA 2K? And I have a follow-up. 
Strauss Zelnick: Yes. We're definitely announcing pricing on a title by title basis. I would just observe, there hasn't been a frontline price increase for a very long time, although costs have increased significantly. But most importantly, we believe we're delivering the highest quality titles in the business. And consumers are staying more engaged than ever. Games have extraordinary playability and replayability. And they offer many, many hours of entertainment. We think it's a great value. It does rely on our continuing to deliver amazing experiences, and that's our strategy and our goal. 
X. Lu: Got it. And then the second question is on GTA Online. Anything you can share in terms of the normalized growth rate for GTA Online this quarter, so excluding the Epic Store? Or similarly, can you share what percentage of the bookings came from new versus existing players in fiscal 1Q? 
Strauss Zelnick: No. We don't give that kind of granular detail. 
Operator: Our next question comes from Mike Ng with Goldman Sachs. 
Michael Ng: I was just wondering if you could expand on the GTA V Enhanced Edition for next holiday. It feels a little inappropriate to call it a typical remaster. And I was just wondering if you could talk a little bit about whether or not there's an opportunity for a GTA, call it, a replacement cycle, if you will? 
Strauss Zelnick: Well, it's a great question, and I appreciate the sentiment with which it's asked because we've now sold in over 135 million units. And of course, GTA V was created for the last console generation, is the standard bearer in this generation, and now we've announced that it will be available for the next generation of consoles, which is just amazing. 
 Historically, Rockstar always delivers a great new experience with new content and new opportunities to excite, engage and surprise players. And that's true of everything that Rockstar Games releases. Any more details, I think, will properly come from the label in due time, but we couldn't be more excited that the title will be available for the next generation of consoles. 
Operator: Our next question comes from Brian Fitzgerald with Wells Fargo. 
Brian Fitzgerald: At Xbox 2020 a couple of weeks ago, 2 weeks ago, we saw The Outer Worlds, Grounded [ evolved ]. They look great, these are all Private Division titles. So our question was around this. Strauss, when you mentioned I think you said The Outer Worlds in the Switch was 2.8 million units already. How do you see Private Division aggregating up volumes over time? Lainie, I think you said, near term, it's going to hit 10%, that's Private Division and Social Point. So how should we think about that metering out? Can it be, longer down the road, can it be a bigger percentage? 
 And then the second part to that question was these titles seem to appeal maybe especially to the expanding demographic of gamers that are being pulled in the ecosystem. Can you give us any color or dynamics in terms of how types of players that are engaging with private label versus some of your other studios? 
Strauss Zelnick: Well, thanks for your question. Just to clarify, Outer World is sold in 2.8 million units and it's across all platforms, and so far as recently made available for Switch. So -- and we're very excited about it. Outer Worlds also has more content coming, and that's a very exciting opportunity. 
 We think the opportunity for Private Division to be a greater percentage of our overall net bookings is strong. And to state the obvious, it will all depend on the quality of the releases but they continue to sign up and announce great publishing arrangements with first-class independent developers. And so far, their track record is pretty extraordinary, which is amazing. 
 In terms of the demographic to which they appeal, I think that's title by title. I don't think there's anything in particular in their strategy that would either limit or expand the scope of their potential audience, except that their titles are created by developers who live outside of the big company system. And does that give them an opportunity to be perhaps more innovative and take more risk? Possibly. Although we pride ourselves on being the most innovative company across everything we do. So it's a really good start. We're incredibly proud of what the team has achieved so far, Private Division, and very optimistic about the future. 
Operator: Our next question is from Colin Sebastian with Robert W. Baird. 
Colin Sebastian: Congrats on the quarter. I have a couple of questions as well. First off, with the start of the NBA season in Orlando, curious if you've seen any change positively or negatively with respect to NBA 2K? And broadly where markets have reopened, if you've seen any interesting changes or observations with respect to usage trends. And then a bigger picture question on digital distribution. Strauss, I know you guys support platforms where your users are, where they want to access games. There are an increasing number of platforms, which seems to add some complexity to the industry. And I'm curious if you have any updated thoughts on a direct-to-consumer offering if you think that makes some more sense now or maybe less sense? But just curious on your thoughts on distribution. 
Karl Slatoff: So for NBA 2K, obviously, this has been an incredible year for us, and we've had a really, really nice run, obviously, much better than our expectations. We were originally projecting that it wasn't going to be a record year, and now it's going to be a record year across the board. 
 We obviously have some tailwind with that behind the shelter-at-home. But generally speaking, the game has been improving since the day came out, and it's really generated a huge amount of interest across the board. 
 In terms of has that interest changed with the new seasons, et cetera? There's really nothing to report there at this point. It is -- it's certainly, we're excited that basketball is back at it. It's always a good thing when people are engaged with the NBA. It's an incredible brand and having players in the court is obviously a good thing for us. But there's nothing really that we have to report about the results itself specifically related to that. 
Strauss Zelnick: And with regard to distribution, yes, I think you captured it well. We said we want to be where the consumer is. We need to find that intersection of what's great for the consumer and what makes sense for us as a producer and distributor. And there are a lot of opportunities. We tend to be very supportive of new launches. We were supportive early of Google Stadia. We certainly support what Microsoft and Sony and Nintendo do when they bring out new platforms, and I think that will continue. 
 In terms of direct-to-consumer opportunities, naturally, we have the ability to go direct-to-consumer. Rockstar goes direct-to-consumer through their Launcher, 2K goes direct-to-consumer. We have the ability for consumers to buy goods directly from our company, and I expect that to continue. It's still a relatively small portion of our business. And I think our expectation over time is that our goal is not to drive consumers to any particular destination, including one of our own. Our goal is to be where the consumer is. 
Operator: Next question is from Eric Handler with MKM Partners. 
Eric Handler: Wondered if you could talk a little bit about how you're balancing concerns in the back half of the year about how the economy is going to fare versus what you're seeing in engagement in July? Are you seeing much of a falloff versus the months in the first quarter? How is that shaping up? 
Karl Slatoff: So we -- in our Q2 guidance, we have included the fact that we're seeing some benefits continue on our business, some of the similar tailwinds that we've had since starting in the first quarter, actually the end of the fourth quarter as well. So we do see some of that in our Q2 guidance. 
 In terms of the back half of the year, we really haven't factored anything in related to that or even -- or to take into account any sort of recessionary possibilities. 
Eric Handler: All right. So you feel good about the consumer right now, but basically, you don't have a crystal ball for the back half of the year. So too challenging to predict at this point. 
Strauss Zelnick: That's right. 
Operator: Our next question is from Drew Crum with Stifel. 
Andrew Crum: Karl, I think you and I have talked about this in the past, but I want to revisit the software development cost balance and reconcile the total against your commentary around the game pipeline. It's considerably lower versus recent years. And with more than 90 games in development, does that suggest these are smaller titles, or you're just not as far along? And hence, the pipeline is very back-end loaded? 
Karl Slatoff: Can you just clarify what you mean what's considerably lower? 
Andrew Crum: Well, if you look at... 
Karl Slatoff: Balance sheet? 
Andrew Crum: Yes. Correct. Yes. Current plus non-sort of... 
Karl Slatoff: [Capitalized as well.] Yes I think, well, look, as we said, our pipeline is twice the size as it was -- more than double the size as it was 5 years ago, and we're really excited about what that is. Some of these titles are early on in development. Some of those titles are much further along in development. Some of these titles are very, very big titles and some of these titles are very, very, very small titles. So there is a big mix there. 
 And in terms of -- so you can't really say, well, there's just more titles or they're less expensive. Because there is such a play between those 2 elements. But you identified those 2 elements that, well, those 2 things will certainly play into how large that capitalized balance sheet moves going forward. It's relative to the scale and where we are in development. 
Operator: Our next question is from Matthew Thornton with SunTrust. 
Matthew Thornton: Maybe for Strauss, can I just get your thoughts 3 months later since the last call, given the COVID environment, just be interested to hear your thoughts on the lasting impact of all these, whether it's Take-Two kind of operation-specific, whether it's consumer and kind of what you think you can kind of hold on to once things kind of normalize. I'd just be very interested to hear your latest thinking about the lasting impact of this environment longer term? 
 And then just secondly, quickly, you talked about, obviously, GTA moving to next-gen consoles. Curious if there's any other nonrecurring franchises that could also see a similar upgrade path? 
Strauss Zelnick: Yes. In terms of the lasting impact of this period of time, it's so hard to predict because most humans tend to believe that whatever is going on right now is what will always continue. And of course, that's not the case. Everything, in fact, generally changes. So we've seen certain companies announced that, from their point of view, everyone should just always work from home. And I know there are people I know who believe they'll never go to the movies again or they'll never fly in an airplane again or stay in a hotel again or eat inside a restaurant again. And I don't see the world that way. So from our point of view, this tragedy will pass and the world will go back to looking an awful lot like it did before. However, it does feel like this has been a period of time where previously existing trends have been accelerated. 
 And I do think that we appreciate the possibility of remote work as needed, where we understand in a disaster scenario, how we can continue to be productive. I think, frankly, it's created a great benefit in our morale as an organization. As any tragedy does, I think tragedy will either pull people together or push them apart. I think we have a strong enough culture that it pulled people even more together. It's just my point of view, but I think it's borne out in the level of productivity and the quality of our games and the quality of our operations and hopeful that, that continues. 
 In terms of the consumer, I do think that this has intensified a shift from old analog entertainment to new interactive entertainment. And I do think that people have come back to video games and tried video games when they hadn't tried them previously. And I think you're going to see a long-lasting increase in demand. 
 Again, that's not reflected in our numbers because we don't build our guidance based on my opinion about things, luckily. But I do believe that's the case. And I think you're seeing a systemic shift in favor of interactive entertainment. And there are only a handful of companies on earth who aim to do what we do, never mind, are able to do what we do. So it puts us in a very good position indeed. 
 In terms of your question about other older titles being brought to next-gen consoles. We always leave those announcements to our labels, but I'm sure there'll be more in the future. 
Operator: Our next question comes from Brian Nowak with Morgan Stanley. 
Unknown Analyst: It's Matt on for Brian. Two, if I could. So on GTA on the next gen, can you walk us through the decision to split it into -- in the back half of next year, split it into a separate online mode and then like the upgraded version of GTA V? Obviously, you had tremendous success kind of just packaging those 2 together when you went from the last generation to the current generation. So what was the opportunity that you saw on next gen to maybe separate those 2 games? 
 And then just separately, thinking about pipeline now that we're kind of 3 months into the work-from-home environment. Are you seeing more of an impact on games maybe that are a little farther out in the development cycle? Or do you feel that the pipeline is more or less kind of on track that you expect it to be, you would have expected it to be 3 months ago? 
Strauss Zelnick: Yes. I mean the decision regarding GTA for next gen is a marketing decision and a production decision by Rockstar Games. And I'm sure they'll have more to say about that in the coming months, but I'll leave it to them as I prefer to do. 
 In terms of the pipeline, we've been very fortunate. As I just said, our workforce has been exceedingly productive. And I think we only have announced 1 delay since this whole tragedy started, that was a delay of Kerbal Space Program 2 to fiscal '22. But apart from that, everything is looking really good and is on track and on target, no issues whatsoever. 
Operator: Our next question comes from Mike Hickey with The Benchmark Company. 
Michael Hickey: Congrats on another solid quarter. Just 2 questions for me. I guess the -- curious, the response you've gotten from your player community on The Naturalist experience, latest upgrade or update for Red Dead Online. And also curious about future cadence of content. I think it was December last year when we got the Moonshiner update. So it seemed like it was sort of an extended period of time before we get an update. I'm just curious if that was maybe because of the work-from-home? Or is there something else going on that sort of led to that sort of lengthy time in between updates? 
 And then Strauss, I know you talked on pricing. Just want to -- just curious on how you think about the economy, the $70 price point. Obviously, a lot of people without jobs, how do you think about how it could impact recurrent spend within the game? And if you've done any sort of survey work or what gives you, I guess, the confidence that demand won't slip at that price point. 
Strauss Zelnick: Yes. The productivity has been strong across the board and across all of our labels. And as you know, Rockstar Games decides on the cadence of updates, and it's driven by great ideas and the ability to deliver those great ideas into superb experiences. And all of our labels wait to distribute new content until it's nearly business perfect as it can possibly be. There is more content coming for both Red Dead Online and Grand Theft Auto Online this fiscal year. So stay tuned, I think it's going to be awesome. 
 In terms of the price point, this is a very modest price increase. The pricing has been going down on a real dollar basis for the better part of 15 years. And we're applying this price point in the case where we think the quality not only supports it, but demands it. Production costs have gone up greatly. But most importantly, the consumer experience is more robust than ever before. And I'm utterly convinced that NBA 2K21 will be nothing short of extraordinary, so I don't expect that there will be any concerns. 
Operator: Our next question comes from Eric Sheridan with UBS. 
Eric Sheridan: Two, if I can, following up on some of the themes earlier in the call. Based on what you've seen from player behavior through COVID-19, what might some of the key learnings you've gained around lead marketing to older content and sort of reinvigorating players' desire to sort of go back and revisit content and games from a prior generation to continue to sort of drive out lifetime value in that content? And secondly, what have you learned about marketing efficiency as a result of the current environment? And how that might -- how might that carry forward into the next console cycle as well? 
Strauss Zelnick: Yes. I don't think this period of time has led to look at our catalog any differently than before. We're bringing out the Mafia Trilogy. We always bring out legacy content usually in an enhanced format for new consoles on a regular basis or even in the absence of new distribution opportunities. And I'm sure that will continue, of course, driven by the demand for our properties. And if I'm not mistaken, we still have the highest sales per SKU of catalog of any of our competitors based on the quality of what we have historically done. We aimed to keep doing that. 
 In terms of marketing efficiency, I haven't really seen a change. At any given time, we're trying to be more and more efficient with our marketing. Undoubtedly, in the mobile business, there's going to be a meaningful change in marketing based on changes that have been announced by Apple and other changes that are driven by privacy legislation and privacy concerns. But I don't know that, that will enhance efficiency. In fact, it may go in the other direction. So it's always a challenge to create the best marketing. And I wouldn't say it's becoming more or less efficient than before. 
Operator: Our next question comes from Todd Juenger with Sanford Bernstein. 
Todd Juenger: I also have two, if you don't mind, for whoever wants to [ feel ] them. The first, at the risk of being shut down again and just waiting for more from Rockstar, I'd love to explore the topic of the relationship with PlayStation around GTA Online. And just, at a higher level, without the specifics, what sorts of factors go into the decision to make such a partnership with a company like Sony? And in particular, what sorts of things would we expect you would get in return from them in order to offer them, the things you've done, including the exclusivity. That's question #1. 
 The second one is, it wasn't too long ago, every night, we turned on the TV, we saw NBA celebrities playing against each other on NBA 2K on television. I'm just -- I'm really curious as what's it about, what that did in terms of licensing revenues or engagement in the quarter. Although that's interesting, I'm more interested in whether that's opened your mind or any of your development team's mind into how to keep things like that going well into the future? And what that can do in terms of bringing together celebrity and culture and your games in a social and engaging way and sort of driving that whole experience to a whole new level? 
Strauss Zelnick: Yes. I mean without going into too much detail on confidential arrangements. Typically, we have great relationships with all of our platform partners. And we will sometimes announce a particular situation. In many instances, it's driven by marketing support and other benefits that both parties obtain from such an arrangement. And Karl will take the question on basketball. 
Karl Slatoff: Yes. In the case of the NBA, the player tournament that we did, obviously, that was an exciting event. And that was an unplanned event, as you could probably tell. It's something that would probably not have happened, but if it were not for the COVID situation. So in a lot of ways, there are some interesting things that come out of these situations when you're dealt with them. This particular one, I wouldn't really think about it as a specific money making opportunity in the moment. But like any marketing or anything that engages an audience or even creates new audience, it has the benefit of creating interest and engagement with the game. So we really look at that kind of thing, like we would as any other marketing opportunity. Is there a big huge learning from it, something we can keep going? Perhaps. I mean, it was definitely something different than what we've done before, although we have done player-based things in the past, and we've done tournaments in the past, this was just kind of marrying them together. So that's not to say we can do it every day or that this is something that is going to set some kind of precedent for us. But it certainly is interesting. It was a lot of fun to do. And it undoubtedly increased interest and engagement with the game. And as our financial results ultimately reflect all of these things happening for us at once. 
Operator: Our next question comes from Doug Creutz with Cowen and Company. 
Douglas Creutz: A little bit along the lines of the last question. In the last couple of years, you've really extended the life span of NBA 2K very deep into the annual cycle, far beyond where it used to be sort of falling off. Do you think NBA 2K League has been an important part of that? If so, is there anything you can point to, specifically, where the league has really helped engage with the overall game? Or do you think the 2 are incidental to each other? 
Strauss Zelnick: Very hard to point to it. But I think the NBA 2K League is not only an interesting opportunity as a stand-alone, but also forms part of building the brand and building overall engagement. I think you're 100% right. It used to be a 3-month experience, then it became a 6-month experience. Now it's very close toward a year-long experience, and that's very much our goal. And that's really a reflection of NBA 2K morphing from being the highest quality sim in the market to one of the highest quality interactive entertainment experiences of any kind. And it's both a sim and a lifestyle in a world you can inhabit that's constantly evolving and changing. So that's very much the goal of visual concepts, and you're seeing that goal being realized, and I believe you'll see it be more and more realized. Does the league form a part of that? Unquestionably. We also expect it to be very successful on a stand-alone basis. 
Operator: Our next question comes from Alex Giaimo with Jefferies. 
Alexander Giaimo: Karl, a follow-up to a previous question, but the upcoming game pipeline for 93 new titles that you mentioned last quarter that will launch by, I think it was fiscal '25. Should we expect a similar cadence as we've seen in the past of maybe 1 nonsports AAA title per year? And I think it's 11 franchises in your portfolio now that have sold in at least 5 million units. Is it also fair to assume that the content plate will include sequels to most of those bigger franchises? 
Karl Slatoff: The -- certainly, the development pipeline certainly does include sequels to the bigger franchises. And in some cases, could include sequels from new franchises to the extent they actually work. So that -- there's no doubt that, that's the case. 
 I'm sorry, what was the first part of the question? 
Alexander Giaimo: If in the past, I think the goal has been 1 nonsports AAA title per year. Is that the cadence we should still think about? 
Strauss Zelnick: Yes. I mean, look, it's again, I think, look, 1, 2, whatever it may be, that is obviously our goal, to come up with more than 1 -- more than what we have now and to be more consistent with the number of AAA releases that come out every year in addition to our annualized title. So whether that number is 1 to 3, that certainly would be the goal. 
Operator: Our next question is from Ryan Gee with Bank of America. 
Ryan Gee: So the 100% plus growth in MyTeam players, certainly consistent with demand we're seeing for expression personalization in games right now. Does this speak to the opportunity for a nonsim game from the NFL? And why 2021 is the right time and place to deliver that game? And then on a related matter, the doubling of the NBA players, I think it was last quarter. Can you speak to how much you've seen in growth in the players brand-new to the franchise? So that as you look forward, even if you lost some of these kind of French casual guys, you'll still be net ahead. 
Strauss Zelnick: Yes. I would just observe, as I did previously that the game already offers numerous opportunities that are in addition to the sim, the core sim game. And we'll leave to Visual Concepts, how that will be expressed going forward. But right now, we think NBA 2K offers something for everyone. You want the best sim game, it's there. You want an opportunity to experience great music, it's there. Great characters, it's there. Play outside of the sim game, it's there or just experience the world. That's a possibility, too. So I'm sure there'll be much more to talk about, and we'll let Visual Concepts and 2K talk about it. 
 In terms of data around players, we don't tend to go into that much detail. But with 14 million units sold, 18% greater than last year, wonderful engagement and enormous growth in recurrent consumer spending, I think you can safely assume that the audience is expanding. 
Karl Slatoff: And also, to answer your question about football, look, we obviously think that there's a significant opportunity for nonsimulation gameplay with the NFL, the football business. Otherwise, we wouldn't have done that partnership, and won't be so excited about it. 
 The fact the success of MyTeam isn't necessarily a barometer for that. There are so many different kinds of nonsimulation play and whether the MyTeam phenomenon is relevant or not, remains to be seen. But in respect of that, the nonsim market is very exciting for us, and that's why we're going forward with NFL with that. 
Operator: Ladies and gentlemen, we've reached the end of the question-and-answer session. At this time, I'd like to turn the call back over to Strauss Zelnick for closing comments. 
Strauss Zelnick: Thank you so much for joining us today. On behalf of everyone at Take-Two, we appreciate your interest. We appreciate your support, and we'd like to wish you all a happy, healthy and most of all safe summer. Thank you for joining us. 
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.